Operator: Good day, everyone. Welcome to the Bridgeline Digital First Quarter 2025 Earnings Call. At this time, all participants have been placed on a listen-only mode. If you have any questions or comments during the presentation, you may press star one on your phone to enter the question queue at any time. We will open the floor for your questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Thomas Winhausen. Sir, the floor is yours.
Thomas Winhausen: Thank you, and good afternoon, everyone. Thank you for joining us today. My name is Thomas Winhausen, and I am the Chief Financial Officer of Bridgeline Digital, Inc. I'm pleased to welcome you to our fiscal 2025 first quarter conference call. With us today is Ari Kahn, Bridgeline's President and CEO, who will begin the call. I will then update you on our financial results for the quarter. We will conclude by taking questions. Before we begin, I'd like to remind listeners that during this conference call, comments that we make regarding Bridgeline that are not historical facts are forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Act of 1934. These statements are subject to risks and uncertainties that could cause such statements to differ materially from actual future results or events. These statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Internal projections and beliefs upon which we base our expectations may change over time, and we expressly disclaim and assume no obligation to inform you if they do. The results we report today should not be considered as an indication of future performance. Changes in economic, business, competitive, technological, regulatory, and other factors could cause Bridgeline's actual results to differ materially from those expressed or implied by the projections or forward-looking statements made today. For more detailed information about these factors and other risks that may have an impact on our business, please review the reports and documents filed from time to time by Bridgeline Digital with the Securities and Exchange Commission. Also, please note that on the call this afternoon, we will discuss some non-GAAP financial measures when commenting on the company's financial performance. We provide a reconciliation of our GAAP financials to these non-GAAP measures in our earnings release. You can obtain a copy of the earnings release by visiting our website. I would now like to turn the call over to Ari Kahn, Bridgeline's President and CEO. Ari?
Ari Kahn: Thank you, Tom. Good afternoon, everyone. In Q1 of FY2025, Bridgeline signed 28 license sales, adding $2.7 million in new contracts and $800,000 in annual contract value. Our sales cycle is now only 105 days with an 18% win rate on qualified leads. World-class numbers. This means it's time to invest in sales. The market is hot. Our products outperform our competition. Last year, we released eight AI-based products that are blowing the competition away, garnering strong analyst support, and delivering key value to our customers. We invested in R&D, and it has paid off. We are the leader in AI-powered eCommerce search. Our growth is limited only by our marketing budget—not by market size, not by customer demand, not by competition. Now is the time to reallocate resources from R&D to sales and marketing. It's time to go all in on growth. Our revenue can broadly be broken into two product groups. The core revenue comes from our Hawk Search products and is eCommerce 360 embedding, including WooRank. This revenue is $2.1 million with double-digit growth, net revenue retention of 107%, and CAC payback better than 20 months. Essentially, all of our new sales are core products. Our non-core products represent the balance of our revenue, including most of our professional services. These products generate strong gross margins with minimal operating expenses, and they help fund growth in core. With momentum in sales, a leading position in AI, and a market shifting to adopt our AI products, we've made bold company-wide changes to invest more into sales and marketing and seize this opportunity. These changes go all the way to the board level, including the addition of healthcare industry veteran and business development expert, Michael Keflak, whose expertise and network will help Bridgeline expand into additional markets. I recently had the acronym FOMO, fear of missing out, on my mind. That's exactly the mindset driving our growth strategy. The market is shifting fast, and we're seizing the moment to expand our customer base. Our board and team are in full growth mode, and I'm committed to investing in new customer wins to ensure that we stay ahead. Let's take a look at Q1 sales, the second-best sales quarter in the company's history. We sold 28 licenses for $2.7 million in total contract value, adding $800,000 in ARR. Here are a few of our new customers: Grady Plus, a leading B2B eCommerce provider, is leveraging Hawk Search AI to improve its search functionality and deliver a more seamless digital experience. John Dodge, a major supplier in the janitorial and respiratory restoration industry, has also integrated Hawk Search to enhance product discovery and optimize site navigation. Aftermarket Auto Parts Alliance is using Hawk Search to streamline search across its extensive product catalog. Mount of Your Health System has chosen Hawk Search to power a more intuitive and efficient search experience for its users. A leading supplier in the plumbing industry has chosen Hawk Search's Smart Search to power their product discovery experience. This plumbing supplier will leverage Smart Search's visual and concept search feature to enhance customer experience and drive growth. Another major supplier in the plumbing industry successfully launched Hawk Search to power its online search. All this, not to mention, expanded subscription of a Fortune 100 consumer electronics customer who's powering over a million dollars an hour in online sales with Hawk Search. This momentum positions us for continued growth in 2025 as we expand our reach in B2B eCommerce and healthcare, providing cutting-edge AI search solutions to drive revenue and enhance customer engagement. Our 2024 investments in R&D have opened the door to partners whose customers need the latest AI-powered eCommerce tools. Our partners bring us customers thanks to our expanded product line and joint marketing events, lowering the cost per lead for both sides. We released our BigCommerce Catalyst Connector just this week. The press release announcement will be issued soon. Catalyst will give BigCommerce customers a drag-and-drop tool to seamlessly upgrade their online stores to our Hawk Search suite. BigCommerce has been one of our strongest partners, and we expect our Catalyst release to make it even easier for their customers to upgrade to Hawk Search. X engagement with Optimizely continues to be a leading partner who brings us large sales that close quickly on Hawk Search. Many of our B2B manufacturing distributor customers are on this ecosystem. Hawk Search is listed as the top paid app in the Optimizely store. Bridgeline earned Mobico's Partner of the Year Award for its role in advancing mobile engagement for distributors. This quarter, Hawk Search has also joined forces with OroCommerce, a leading B2B commerce platform, to bring AI-driven search and merchandising to manufacturers and distributors. Importantly, in partnership with Salesforce, Hawk Search has also launched the Hawk Search AI-powered product discovery engine for Salesforce B2B commerce. Salesforce customers can now access Hawk Search directly from the AppExchange, deploy the connector instantly, and see immediate improvements in eCommerce performance. Partnerships will be an important part of our go-to-market strategy this year, but we're also greatly expanding our marketing budget. We've generated notable sales in recent years by focusing on specific verticals and joining industry conferences and associations. In the fastener industry, we won several customers by attending conferences like the International Franchise Expo and Fastener Fair in Vegas. B2B electronic and plumbing distributors have been strong with conferences such as B2B Online Chicago and Modern Distribution Management Shift generating sales. We have expanded our budget and will be targeting new B2B verticals, including advertising in vertical markets and hosting more in-person events to generate even more leads and convert them into customers this year. Last year was a transformative year in our product suite with eight AI products being launched. This year is going to be transformative in growth, with our budget reallocated from R&D to sales and marketing so that we can capitalize on the market demand and on the strong competitive position that our innovation efforts have placed us in. At this time, I'll turn the call over to our CFO, Thomas Winhausen. Tom?
Thomas Winhausen: Thanks, Ari. I'll provide an update on our financial results for the first quarter of fiscal 2025, ended December 31, 2024. Total revenue for the quarter ended December 31, 2024, was $3.8 million, compared to $3.8 million in the prior year period. Going into each component of revenue, our subscription license revenue, which is comprised of sales licenses, maintenance, and hosting revenue, for the quarter ended December 31, 2024, was $3 million, down 1% from $3.1 million in the prior year period. As a percentage of total revenue, subscription license revenue was 80% of total revenue for the quarter ended December 31, 2024. Services revenue of $700,000 for the quarter ended December 31, 2024, was up 11% from $700,000 as rounded in the prior year first quarter. As a percentage of total revenue, services revenue accounted for 20% of total revenue for the quarter ended December 31, 2024. Cost of revenue was $1.3 million for the quarter ended December 31, 2024, an increase from $1.2 million in the prior year period. As a result, gross profit was $2.5 million for the quarter ended December 31, 2024, down 1% from around $2.6 million in the prior year period. Overall, gross profit margin was 67% for the quarter ended December 31, 2024, compared to 68% in the prior year period. Services gross margin was 51% for the quarter ended December 31, 2024, compared to 44% in the same period, an increase of 7%, and subscription license gross margins were 71% for the quarter ended December 31, 2024, compared to 73% in the prior year period. Operating expenses were $3.0 million for the quarter ended December 31, 2024, down 4% compared to $3.2 million in the prior year period. Going below OpEx, the change in fair value of our liability classified warrants resulted in a non-cash loss of $114,000 compared to a non-cash gain of $18,000 in the prior year period. Moving to the bottom line, our net loss was $0.6 million for the quarter ended December 31, 2024, compared to a net loss of $0.6 million in the prior year period. Adjusted EBITDA for the quarter ended December 31, 2024, was negative $193,000 compared to negative $117,000 in the prior year period. Moving on to our balance sheet, as of December 31, 2024, the company had cash of $1.5 million and accounts receivable of $1.2 million. Our total debt outstanding as of December 31, 2024, was under €400,000 and approximated $409,000 USD. The weighted average interest rate of that debt is approximately 4.1% with payments due through the year 2028. We have no other debt or remaining earnouts from any of our previous acquisitions. As of December 31, 2024, our total assets were $15.5 million and total liabilities were $6 million. Finally, I'll give an update on our cap table, which as of December 31, 2024, included 10.4 million outstanding shares, 39,000 shares of Series C preferred stock on an as-converted basis, 800,000 warrants, and 2.1 million options. As a reminder, in September 2024, nearly 900,000 warrants with an exercise price of $4 expired. The remaining 800,000 warrants consist primarily of 180,000 warrants with a $2.85 exercise price expiring in May 2026, and 592,000 warrants with a $2.51 exercise price expiring in November 2026. Bridgeline looks forward to continued growth and success in fiscal 2025 and beyond as we continue our focus on revenue growth, product innovation, customer success, and delivering shareholder value. Thank you for joining us on the call today. At this time, we'd like to open the call to questions and answers. Moderator?
Operator: Certainly. Everyone, at this time, we're conducting a question and answer session. If you have any questions or comments, please press star one on your phone. Once again, if you have any questions or comments, please press star one on your phone. Your first question is coming from Casey Ryan from Westpark Capital. Your line is live.
Casey Ryan: Thank you, Ari, Tom. Nice quarter.
Ari Kahn: Thanks, Casey.
Casey Ryan: Yeah, you bet. It sounds like we're getting an inflection point with what you're seeing in the market and the success of Hawk Search. So I have a couple of questions around that. First of all, I think you called out $2.1 million was kind of from what you're calling the core product, right? So sort of WooRank plus Hawk Search in the core?
Thomas Winhausen: Correct.
Casey Ryan: And then services were about $700,000. So it looks like taking $2.8 million, that services is, like, you know, one-third of what Hawk Search sales are or sort of that core software sale is. Is that a ratio that will sort of continue to be consistent, you know, so that if we put it out and the core revenue was higher, you know, services would be higher, or is that not gonna sort of hold long term?
Ari Kahn: It actually adds up a little bit differently than that. I'm gonna have Tom break it down for you.
Thomas Winhausen: Okay. The services, right, in our comments, we had services of $700,000 for the quarter. And those are not all core. So I think you mentioned that in what you said. Here's the breakdown: we got $2.1 million in revenue for our core product line. That's both services and subscription. About 80% of that, a little bit north of 80%, is subscription. And so, like, 19% is services, whatever that math comes out to be. Right. That's core revenue. Core revenue is growing by double digits. That's what we're declaring. We're not going into more details about the account. Right? Yep. And that's got the net revenue retention of 107% and CAC payback better than 20 months. Then the rest of the revenue for the company, services and subscription, is our non-core.
Casey Ryan: Got it. Okay. Okay. Yep. And so the reality is that we're kind of seeing the non-core declining, has historically been declining, and knocking out the growth in the core. This year, FY2025, we're providing better clarity on that for everybody so that we can see that breakthrough growth coming in the double-digit growth from core.
Ari Kahn: From core. Right. Okay. Okay. Good.
Casey Ryan: This is sort of a helpful way to sort of frame it. So tell me about, you know, for the core products, guess talk a little bit about how you see the sales. It sounds like, you know, the 18% win rate is very strong. But, like, tell me what you see from sort of the, like, lead gen or interest side if that's expanding sort of at a faster rate or a faster rate than maybe we had seen in revenues or talk about qualitatively maybe if it's possible. About the pipe.
Ari Kahn: Perfect. Perfect. Yeah. That's the thing that's got me super excited right now. So qualitatively, we've got leads that are coming in at a higher rate than we've ever had before on a per dollar basis. And that's represented by a very strong CAC payback. So customer acquisition costs are very efficient coming from face-to-face conferences, these narrow verticals, industry verticals like fasteners and plumbing and things like that. So we're not so much going to the technology conferences as we are to where our customers' conferences are. And then out of those, what we call a qualified lead, which is not a very high bar, a qualified lead for us is an objective measurement. Meaning that that person has contacted us twice, not us sending them an email, but them filling out a form on a landing page, sending us an email, or calling us two times, and has given us an indication of what their budget is. And an indication of who the person is who will make the ultimate decision. That's it. We're seeing an 18% conversion to a win out of someone that just goes that far, a lead that just goes that far with us. And what that tells me is that we've got the right products, we're in the right market. And we need to go all in on sales and marketing immediately and take advantage because that kind of a win rate is not gonna be here forever. And that's my FOMO comment.
Casey Ryan: Go, go, go. Yeah. Well, listen, I took notice of that 18% win rate and, yeah, it makes perfect sense that we should expand that as rapidly as possible. Right? You know, especially considering that, like, low bar to sort of measuring the qualified lead perspective. So that's very exciting. And so one thing else about the Ulta pipeline, I guess, is it possible that people can go from lead to sort of customer through self-service entirely? It sounds like maybe there are some functionalities where people can sort of enable Hawk Search on their own, or do you always have to touch them in some way?
Ari Kahn: Well, so with our connectors, the Salesforce AppExchange connector and the BigCommerce Catalyst connector, people could go directly on their own, but the reality is that's not how it works. Okay. There's typically a digital agency or systems integrator that's involved who's managing their broader website. And we have salespeople that do have conversations. So the entire sales cycle from the very first time that they hit our system all the way to either buying or not buying from us, but closing one way or the other, is 105 days on average. And our sales team is currently two what we call BDRs, business development reps. Those are inside salespeople that are making the initial contact. Plus two BDEs, business development executives, who are actually running the deal. Plus the working manager. That's our outside sales team. We also have our customer success sales team because we've released so many products. Our customers don't all own all of them yet. So we also have a three-person team that is selling to our existing customers. So that's the sales order. On the marketing side, we've got a working VP of marketing, a graphics person, an event coordinator, and then an SEO consultant. Halftime. So that's who's doing the marketing. That team by itself right now is not the first place for us to expand. Our first place that we expand is we're just gonna go to more conferences with that team, make everybody stay up all night, every night, run so many deals into them that they're choking on them, and then we'll keep on adding more and more people after those guys are so they stop working for us because of their commission.
Casey Ryan: Right. Got it. Okay. Well, and so you guys didn't offer any formal guidance around revenue, but sort of have you gotten a comfort around sort of looking at your pipeline, I guess, and saying it's 105 days, which is a quarter, right, roughly? So you say, okay. Yeah. You know, you guys built out a model where you feel you have some confidence even if the numbers are internal that you say we sort of understand where revenues will come in if things continue to improve.
Ari Kahn: Actually, yeah, we do have pretty good confidence, and there's volatility on the company on our side, which is one of the reasons why we're not doing guidance. But we so we've got our revenue broken into two halves. We've got our core and our non-core. For the non-core, that's renewal of existing renewals redoing or not? And we do sell core products into that non-core group as well, but those are also highly forecastable. On the core side of winning new logos, that's the part that's less forecastable, but that's 105 days, which is not very long. As you mentioned, it's one quarter, so that's good visibility. Boy, I really like selling in that model more than the old days when I used to sell these three-quarter deals that, you know, find out till the last minute. So we do internally have a good sense for that. And that's important because we run on a shoestring budget and we don't, you know, have a lot of room for missing some on the financial side.
Casey Ryan: Right. Okay. Okay. Terrific. Well, look. I, you know, it sounds like a real shift in tone here, and I think it's very positive. And yeah, we're excited to see where we go as we get it moving to 2025. So thanks for the time and a great quarter again.
Operator: Thank you, Casey. Your next question is coming from Howard Halpern from Taglich Brothers. Your line is live.
Howard Halpern: Congratulations on the quarter and the customer wins. Keep powering into your voice. So in terms of overall operating expenses, we're gonna see the shift from research and development to sales and marketing, it only maybe an incremental increase in overall operating expenses?
Ari Kahn: That's right. So we're gonna hold the operating expenses more or less where they're at. And instead, we're just personnel and consultants and so forth so that we'll be investing more on that marketing side. And G&A is already running a pretty tight ship with four people in it altogether. But our R&D really killed it last year, did a great job, released a lot of stuff. And now it's time to sell what they built.
Howard Halpern: Okay. Okay. And you talk about maybe the opportunity for new partnership opportunities and potentially new verticals or new sectors within verticals?
Ari Kahn: Yeah. Yeah. So on the partnership side, that's an important and relatively new sales channel for us. You have two types of partners. We've got what we call ISVs, and these are management and eCommerce platforms. They include BigCommerce, Optimizely, Salesforce, Magento. And these platforms, we typically will have connectors that allow us to seamlessly integrate with them, and they have marketplaces where we can put our software and their customers can buy from us. They're important partners for us because their customers have already built their website, which takes a lot of money and takes a lot of time and slows deals down. So now it's a matter of just enhancing their website with whatever their default search capabilities were with our Hawk Search AI-powered search. The second category of partner is the digital agency, also called the systems integrator. So these are the teams that actually implement the do the initial implementation of the commerce site, but then they have an ongoing relationship with the online store to continually update their site. And they are very influential in the selection of technologies that are launched on that site. So they will recommend Hawk Search. These are companies like American Eagle, they're like Gorilla, and there's a lot of 50-person local market system integrators slash digital agencies that we partner with. So that's half of the channel. And systems integrators and ISVs are involved in basically every deal. The other half of the channel is direct marketing. And this is where we are finding a lot of progress with vertical physical human conferences. We're seeing progress where we have our own customer conference, but then we invite a partner and have them bring their customers as well so it becomes a joint customer conference with cross-sales across the two customer bases. And then we, of course, do a lot of online marketing with webinars, virtual conferences, and even Google AdWords that bring in a lot of leads.
Howard Halpern: Okay. So, really, the emphasis is gonna be on the current verticals that you're in and then just sort of migrate to potential new verticals slowly and then add them into the mix.
Ari Kahn: That's exactly right, Howard, because we see a great return on investment when we reach critical mass in a narrow vertical and have specific referenceable customers. Meaning Bridgeline lives in the technology world on a day-to-day basis and can generalize and create analogies between how we might implement one site and another one. When we're working with someone who is an expert in the plumbing world, they don't necessarily have the familiarity with our type of software to see how what we implemented for a hospital might be analogous to what their needs are. So after we win a couple of plumbing customers, then we really hit critical mass. We've got the specific example websites and the specific customer references that make all the difference in the world.
Howard Halpern: Okay. And you feel that's why the, you know, the 105 days could actually start coming down in some of those core verticals.
Ari Kahn: That's right. In the core verticals, we see faster sales cycles, thanks to the references and the case studies and example websites. Also, the 105 comes down when we are working closely with our partners on those joint customer conferences, for instance, because the relationship just gets accelerated due to the partner relationship.
Howard Halpern: Okay. Well, keep up the great work, guys.
Ari Kahn: Thank you very much. Nice talking.
Operator: Thank you. There are no further questions in the queue. I'll now hand the conference back to management for closing remarks. Please go ahead.
Ari Kahn: Everybody, thank you for joining us today. We appreciate the continued support of our customers, our partners, and our shareholders. We're obviously very excited about the business and growing growth prospects. We look forward to speaking with you again in our second quarter fiscal 2025 conference call. It'll be in May 2025. Until then, be well.
Operator: Thank you, everyone. This concludes today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.